Operator: Good morning, and welcome to today’s conference call to discuss Crestwood Equity Partners First Quarter 2021 Financial and Operating Results. Before we begin the call, listeners are reminded that the company may make certain forward-looking statements as defined in the Securities and Exchange Act of 1934 that are based on assumptions and information currently available at the time of today’s call. Please refer to the company’s latest filings with the SEC for a list of risk factors that may cause actual results to differ. Additionally, certain non-GAAP financial measures, such as EBITDA, adjusted EBITDA, distributable cash flow and free cash flow will be discussed. Reconciliations to the most comparable GAAP measures are included in the news release issued this morning. Joining us today with prepared remarks are Founder, Chairman and Chief Executive Officer, Bob Phillips; and President and Chief Financial Officer, Robert Halpin. Additional members of the senior management team will be available for a question-and-answer session with Crestwood’s current analysts following the prepared remarks. Today’s call is being recorded. At this time all participants are in a listen-only mode. [Operator Instructions] It’s now my pleasure to turn the call over to Bob Phillips. Please go ahead.
Bob Phillips: Thanks operator, and good morning to everyone. Thanks again for joining us today. We’re very pleased to report another strong quarter for Crestwood in a really good start to the rest of the year. I’m going to make a few general industry comments highlight some of our first quarter achievements update on expectations for the full year 2022, and then turn it over to Robert to go through the quarterly numbers. So first let me just comment on what’s going on around the world. We continue to manage through volatility, both domestically and globally. Some of the recent global events that reemphasized to us the importance of secure low cost, reliable energy, and I’m proud that the U.S. energy industry continues to show the ability to provide this energy and service safely and sustainably. I believe Crestwood will continue to play in a really important role in connecting American energy supply to market demand. As you know, global commodity prices are high and been volatile, but they’re still well ahead of our 2022 budget and they remain very constructive for the balance of the year. We have 12 rigs operating on our assets today, and we’re planning on significant producer activity through the rest of 2022 and into 2023. This is keeping our gathering and processing teams busy getting ready for a big ramp up in volumes in the second and third quarters of the year. Additionally, I want to highlight that our storage and logistics teams have done a great job so far this year, managing volatility very well in the first quarter, despite the backwardated commodity curves, which appear to be flattening for the remainder of 2022. Secondly, I want to highlight how positive we are on recent steps at Crestwood has taken to add long-term value to our business portfolio. We’ve doubled our size and scale in the Williston basin with the Oasis Midstream acquisition and integration of Oasis Midstream is well ahead of schedule. Our largest producer Oasis Petroleum is recently announced its merger with Whiting making the combined company one of the largest Williston only producers. We think this merger provides Crestwood with an even longer growth runway in the basin via Oasis Tier 1 and Tier 2 inventory combined with Whiting significant free cash flow generation. Onto the Powder River Basin, we’ve recently completed the Continental Express pipeline, which connects Continental’s largest acreage blocks in the basin to our Bucking Horse processing complex. And we’re expecting first volumes to flow through this pipeline from Continental in mid-May. And in the Delaware basin, we saw a big increase in gas and water volumes in the first quarter, which should drive bigger than expected volume growth throughout 2022. I want to particularly highlight the recent Novo production ramp on the Willow Lake system in New Mexico and the expected growth of Percussion’s volumes on the Panther Crude and produce water gathering system, which we acquired in the Oasis Midstream deal and they currently have three rigs running on that system now. Third, I want to highlight our capital allocation strategy it’s on full display as we expand key infrastructure and core basins through high return accretive projects, which are supported by strong producer customers, substantial acreage dedications, significant undrilled inventory and long-term contracts. And we’re doing that while maintaining a balance sheet with a 3.5 times leverage ratio at the end of the first quarter. As you know, our balance sheet is extremely important to the long-term growth of the company. I’m also proud that Crestwood’s Board of Directors has shown confidence in our portfolio with the recent 5% increase in the quarterly common unit distribution as we importantly prepare for our first annual unit holders meeting on May 12th. And lastly, I want to highlight our finance team’s hard work on the upgrade. We recently received from S&P to BB flat as we continue to look for strategic M&A opportunities around our assets as the midstream industry continues to consolidate. Fourth, I want to give a shot out to our sustainability team as they published Crestwood’s first carbon management plan in January. We also recently joined an industry collaboration with Cheniere, the largest U.S LNG exporter, and several other major gas pipeline companies to drive the development and adoption of a QMRV, GHG emissions program that we think is going to position U.S. gas supply in the global markets for LNG. And also we’re preparing to publish our fourth annual sustainability report in June. I think it’s our best one yet. And we also continue to play an important leadership role at the Energy Infrastructure Council, as EIC makes progress on our ESG 2.0 reporting template update. These are all really important to Crestwood and the midstream industry. And I think finally I want to compliment our operating teams in the Williston, in the Delaware, in the Powder. Our Williston and Delaware operating teams have done an amazing job of integrating the Oasis Midstream assets since the February 1st closing. Despite extreme weather experienced in North Dakota in the past couple of months and in recent weeks. Our consolidated Williston basin operating team now with a very large footprint and our PRB ops team has had to dig out from two major late winter storms recently and have navigated 11 to 12 extreme weather events, which we define as above the 10 year average HDDs year-to-date so far. And these have in fact impacted our Williston G&P volumes. Despite that Oasis Midstream Williston assets really outperformed our expectations in the first quarter and our operations teams there now exemplify the very best in operational safety, reliability, and environmental stewardship as our Bakken producers begin to kick off their 2022 development programs. And I think that’s evidence clearly by the recent 20% increase in rigs in the Bakken in April. So that’s the overview. We obviously have a lot going on at Crestwood. We’ve had great achievements year-to-date. We have high expectations for the rest of the year. And with that, I’ll turn it over to Robert to provide more details on the first quarter results. Robert?
Robert Halpin: Thank you, Bob. Our strong first quarter 2022 results, which exceeded our internal forecasts include two months contribution from the Oasis Midstream assets. And as Bob mentioned, we are very pleased with how those assets have been performing to date. For the first quarter, Crestwood generated adjusted EBITDA of a $173 million that representing a 4% increase year-over-year. Distributable cash flow for the quarter was $117 million, which represents an 8% increase year-over-year and free cash flow after distributions was $28 million. Notably, we executed on our previously announced plans to increase the common unit distribution for the first quarter by 5%. This distribution of $0.655 per unit will be paid on May the 13th to unit holders of record as of May the 6th and results in a coverage ratio of approximately 2.0 times. Now let’s get right into the quarterly operating results. In the Gathering and Processing North segment, first quarter, 2022 EBITDA totaled $133 million. An increase of 29% over the first quarter of 2021, driven primarily by the addition of the Oasis Midstream assets. Currently we have four rigs active across our footprint in the Williston Basin and two rigs active in the Powder River Basin. At this level of activity we would expect to achieve our original well connect forecast for 2022 of 110 wells to 120 wells in the Williston Basin and 10 wells to 15 wells in the Powder River Basin. In the Gathering and Processing South segment, first quarter 2022 segment EBITDA totaled $27 million that representing a 72% increase year-over-year driven once again by significant growth year-over-year on our Delaware Basin gathering systems. As Bob highlighted, gathering volumes on the Permian Basin and gas gathering systems increase substantially year-over-year as our private producer customers continue to drive rig activity in the basin. We are also seeing an increase across our produced water gathering and disposal infrastructure as producers continue development activity with volumes of 102,000 barrels a day during the first quarter. In the Barnett, Crestwood continues to see stable volumes and benefit from higher natural gas prices on its percent of index contracts. Finally, in the Storage and Logistics segment, first quarter, 2022 EBITDA totaled $25 million a decrease year-over-year due to the divestiture of the Stagecoach Gas Services joint venture in July of 2021, as well as the $10 million to $15 million contribution from the events during Winter Storm Uri last year. During the quarter, our NGL Logistics business was able to optimize our extensive infrastructure of 10,000 barrels of NGL storage, pipeline and operating trucking assets to meet increased demand driven by winter weather and continued price volatility. Crestwood has a highly experienced NGL team that does a great job utilizing each of these assets to the fullest extent of its capabilities to generate margin opportunities each year. And finally, the Tres Palacios gas storage facility exceeded our internal estimates as commodity price volatility drove incremental volumes to the facility. Now moving to the balance sheet, Crestwood ended the first quarter with $2.8 billion in long-term debt, including $560 million drawn on its $1.5 billion revolving credit facility, resulting in more than $900 million in available liquidity and a 3.5 times leverage ratio at the end of the quarter. During the quarter, we invested approximately $30 million in growth capital and joint venture contributions across the diversified footprint to meet the needs of our producer’s development programs. In the Williston Basin, we are continuing construction on three product gathering systems for Oasis Petroleum, as well as our new third-party contracts. And in the Delaware Basin, we are expanding the crude oil and water gathering systems for Percussion Petroleum, as well as expanding compression and gathering capacity in New Mexico. As Bob mentioned and consistent with our comments on the previous call, we believe Crestwood is very well positioned for 2022 to be another strong year on all fronts. Crestwood is now a stronger company than before the Oasis Midstream acquisition highlighted by a solid balance sheet with low leverage and ample liquidity and operating leverage to strong commodity prices across our diverse gathering and processing assets. We expect to generate meaningful free cash flow after distributions this year, which we will allocate according to our capital allocation priorities in an effort to continually drive enhanced unit holder returns. With that operator, we are ready to open the lineup for questions.
Operator: [Operator Instructions] Thank you. Our first question today is coming from Kyle May from Capital One Securities. Your line is now live.
Kyle May: Hi, good morning everyone. I wanted to start out on the Delaware assets and I believe you started with your comments that you’re seeing more activity from the privates. But just curious, maybe what you’re hearing more recently from conversations with maybe your producers collectively, and if there’s any change in activity plans for the year based on commodity prices and everything else that’s going on right now?
Bob Phillips: Kyle, this is Bob. Thanks for the question. I’m going to give you some color and then ask Diaco Aviki, Our Chief Operating Officer who really manages that part of the business for us has great relationships, in all these basins. One of the unique features of Crestwood’s diverse portfolio is we have a really strong producer customer base. And so we get to see the activity levels, the future plans and stay in close contact with both majors and producers. There’s absolutely no question that the majors, the large independents are continuing to be capital discipline in their approach to growing volumes. Likewise, there’s no doubt that we’re seeing across our portfolio that independent producers, particularly those backed by private equity dollars are being more aggressive to the extent that they can get more rigs. We have a very balanced portfolio across the Bakken or the Williston, the Powder and the Delaware. So, I think we’re in a unique position to see the trends in the industry. And I think we are seeing those in benefiting from both the long-term view of the majors and the short-term aggressiveness of the small independent producers. Diaco, you want to give some color on the Delaware, particularly since small independent producers are the ones that are really driving the volume growth there.
Diaco Aviki: Yes. Thank you, Bob. In the Delaware, we’ve got three bigger independent producers with Novo Oil & Gas, Percussion and [indiscernible]. The guidance that we played out for the Delaware is a 100 wells to 110 wells for the year. We’re going to meet the high end of that. Not exceed with current guidance from our producer customers. Of course, that’s constantly changing and it seems to be changing in the right direction for us. So, we’re excited about that. And with the majority of our backbone of our infrastructure already built, we should be able to deliver that efficiently and effectively.
Kyle May: Got it. That’s helpful. And maybe one more on the Delaware, since it appears we have additional Permian natural gas egress capacity on the way. Do you see any other potential pinch points from a midstream perspective either before or after the additional capacity is online?
Diaco Aviki: Thank you, Kyle. No, I do not.
Kyle May: Okay, great. Well, I’ll turn it back. Thanks.
Bob Phillips: Diaco, just a little bit more color as it relates to our Delaware assets, we have multiple downstreams for both gas and gas liquids. So, we’re not going to have a – our producers will not have a problem getting, their production to market.
Diaco Aviki: That’s right. Kyle speaking for ourselves.
Bob Phillips: Yes.
Kyle May: Okay. Now I understand maybe any additional thoughts on the broader I guess the broader industry that maybe something we need to keep an eye out for?
Bob Phillips: I don’t think anything other than what’s commonly talked about in the press right now, there’s multiple new gas pipeline projects that are being talked about throughout the industry. Several are advanced to the stage that they’re actually out marketing capacity with rates. I’m a 100% convinced that industry’s going to stay ahead of gas production in the Permian. And we won’t go through an extended period of time where we have big basis differential blowouts, just because the last mcf of gas can’t get out of the basin. I think the industry has a ton of capital invested, there are numerous projects that are underway right now that don’t require full, complete brand new pipelines to run from the Permian basin to the Gulf Coast. There’s a lot of expansions. We think they all make a good deal of sense economically, and we think the producers do too. So, we’re not concerned about that from an industry standpoint.
Kyle May: Understood. Thanks for the time this morning.
Bob Phillips: Thanks Kyle.
Operator: Thank you. Your next question today is coming from Dan Walk from JPMorgan. Your line is now live.
Dan Walk: Hi. Good morning, everyone. Just one or two quick I guess housekeeping items. The first, and they’re both weather related. So the first can you quantify either in terms of throughput impact or EBITDA impact, the effect of weather in the first quarter, and then, I guess I’ll just, I’ll throughout my follow up quickly as well. I understand there was a pretty heavy storm this past weekend in the Bakken as well. And is there anything you can tell us, I know it’s early, but at this at this stage in terms of, operational impact there?
Robert Halpin: Yes. Thanks Dan. I’ll speak to your first question then I may ask the Diaco to speak to the second part of that question around the most recent weather events up in North Dakota. And also a little bit in the Powder River. But from a first quarter operating standpoint, as we mentioned this morning, we exceeded internal estimates despite some of the weather impacts that we no doubt experienced in January and February, just given the extreme weather events across both North Dakota and Wyoming. From a volume metric standpoint, we were about anywhere between 3% to 5% off of kind of internal estimates based on some of those producer shut-ins and deferrals of completions, but expect to get, right back on track volumetrically with the significant amount of completion activity in Q2 and Q3 that we have expected. Now, fortunately some of that was offset by some of the higher commodity prices relative to budget. But that 3% to 5% did resonate through the EBITDA line to greater outperformance. We would’ve seen without it.
Diaco Aviki: And look, let me talk about specifics. I mean, we saw minimal downtime and most importantly, our operations team had some of the, one of the best quarter from a safety performance, despite the extreme weathers. One thing you got to appreciate, we’ve got, it’s a real testament to our overall operating – operations influence reliability on our design basis and the ability of our operations teams to execute and leverage it with our producer customers. There’s some redundancy across the system. We’ve got gen sets ready to go. We know what operating in the Williston means in the Powder River means to us. We know how to respond to it. We know how to prepare for it. We had folks that had prepared to stay within our control facilities and had food and bumped up and we’re ready to go. So, we’re great executors there. I think our customers will testify to that. At the end of the day, winter – winter storms and high winds, it did impact our producer customers and their ability to execute the drilling work over programs. And just, that’s going to result in some slight delays outside of that, the Powder outages were mitigated through gen units and some redundancy that we have across the gathering system. So, we’re really proud of our teams up there and our producer teams and the collaboration they have with one another. And most of all operating safely during that weather.
Bob Phillips: And Diaco, wouldn’t you just highlight that Oasis Petroleum and the Oasis Midstream assets actually perform very well given in the weather conditions.
Diaco Aviki: Yes, they actually exceeded budget as we highlighted.
Bob Phillips: Yes.
Dan Walk: Appreciate that. Got it. Thanks. And anything you can comment on regarding the more recent storm or…
Diaco Aviki: Yes, I was kind of commenting that we had – yes, absolutely. We had gen units that out there ready to go. Our field facilities are up and running. We’re meeting downstream dapple, crude volumes that again, going back to the reliability; our producers will come up real fast. You’ll see the volume show right back up as they always do. And you can actually see it today. So despite the severe weather, I think that redundancy that, everybody’s experience and knows what to do. It’s playing out in spades.
Bob Phillips: Hopefully winter’s over in North Dakota.
Diaco Aviki: Yes.
Bob Phillips: We’re ready to move on to spring.
Dan Walk: Understood. Okay, appreciate that. Thank you.
Robert Halpin: Thanks Dan.
Operator: Thank you. [Operator Instructions] Our next question today is coming from Ned Baramov from Wells Fargo. Your line is now live.
Ned Baramov: Hey, good morning. Thanks for taking the questions. I guess first one on the processing expansion in the Delaware Basin, could you maybe just walk through the timeline of when you need to reach an investment decision in order to have that additional processing capacity ready to go before the end of the year, when Orla is going to be full?
Diaco Aviki: Hey, Ned, this is Diaco Aviki. Let me answer that for you. We’ve actually already began to execute on that project. It’s very simple. Our bottleneck right now is our residue compression capacity. So, we’ve got the unit on an order. It’s getting delivered, it’s in stock. We’re executing on that and we should see the results of that possibly late 2Q early 3Q. So it’s a real simple project, low cost, highly efficient.
Bob Phillips: And on the margin increases processing capacity pretty significantly without having to build a brand new a $100 million plan.
Diaco Aviki: Absolutely.
Bob Phillips: Yes.
Ned Baramov: Okay. That’s great. And then second question for me, I guess Continental’s 2022 CapEx budget includes the build out of gas gathering infrastructure and some water facilities in the PRB. Could you maybe talk about their decision to build some of that infrastructure themselves, rather than delegate these projects to Crestwood?
Diaco Aviki: This is Diaco again. Yes, Continental has a lot of experience building those systems, as you remember the system, the Highland system, and the Bakken was built by Continental and sold to Kinder Morgan. So they’re very proficient at that. So, if you look at our setup with them in the Powder River Basin, we’re – we provide high pressure gathering and processing. Continental spends all the capital on the low pressure gathering and compression. So from their perspective, being able to do crude, water, gas same pipes in the ditch is quite efficient form well-controlled the delivery and be able to execute their plan the way they want to execute it.
Operator: Thank you. We’ve reached the end of our question-and-answer session; I’d like to turn the floor back over to Bob for any further or closing comments.
Bob Phillips: Thanks, operator. And thanks to all of you for joining in the questions. As we close, I just want to highlight our capital allocation strategy and execution, so far with a message that several times over the last few months, with the expectation that we would close Oasis, we did, on February 1, we’re a bigger, better, stronger company now. The integration has gone well. We’re spending capital with discipline around our assets on the margin to increase usable capacity and stay ahead of our producers. And I’m very comfortable that we’re going to find our way, all the way into 2023, being able to really handle all the volumes that are going to come at us throughout the rest of the years. During that, while starting the year at a 3.5 leverage ratio, getting an upgrade from S&P, all good there, keeping our powder dry for strategic M&A, and start buy backs, and not an important was a 5% increase in distribution to our unitholders that have supported us through all these years. So, we’re really proud where the company is right now, we’re in a good spot, a lot of activities on our system, we’re excited about how second, third quarter will play out in the momentum that we’ll have going throughout the end of this year, in the next year. So thank you all for joining us, and look forward talking to you after the second quarter. Thanks.
Operator: Thank you. That does conclude today’s teleconference. You may disconnect your line at this time and have a wonderful day. We thank you for your participation today.